Rolf Marquardt: Good morning, everyone, and welcome to this conference call for the second quarter 2019. Joining me today, I have Peter Grabe, Investor Relations; and Annika Engler, Head of Group Accounting. To start off with some general summarizing remarks, please go to Slide 2. As you know, there have been some major items affecting the reported earnings in the past year, namely a large capital gain last year from the sale of the shares in UC and the reversal in Q1 this year of the Oktogonen provisions for 2018. So when assessing the underlying development of the bank, it is relevant to adjust for this.  The capital situation is strong, and the CET1 ratio of 17.1% is in the middle of the target range. The net interest income is growing steadily and reached a new all-time high level both in Q2 and for the first half of 2019. The fee and commission income also developed strongly and also recorded all-time high numbers.  On the cost development, however, we are far from satisfied. Intensive management efforts and internal work is being conducted to change the trend we have seen over the past two years. While we are investing in business development and increasing operating efficiency, there are several things we can do to become more profitable.  During Q2 a comprehensive review has been initiated to focus on core areas. This includes a review of business and offerings that add a lot of complexity and cost but low profitability, areas where the bank has limited market potential, low earnings and where risks can be reduced. As a part of this, review has been initiated about our geographical presence in Europe outside of the home markets. In conjunction with this, the bank has decided to close its branches in Estonia, Latvia, Lithuania as well as our branch in Poland. In addition, the representative offices in Jakarta and Sydney have been closed.  A number of related actions have also been taken. The bank will cease to offer export finance, and the execution of trade finance in the various home markets will be moved to Sweden. These actions will not only reduce complexity and costs, it will also free up capacity to develop in our core areas.  On to Slide 5 and the quarterly development. Net interest income is up by 2% and for the first time exceeding SEK8 billion. In the quarter, there was tailwinds from both volumes, FX and day count effect while the net effect from margins and funding costs was negative. Fee and commissions increased by 7% on the back of strong equity markets, strong net inflow and reversal of the negative mix effects seen in Q1. Costs were up 4% adjusted for Oktogonen and currency effects. I'll get back to costs later but we are, of course, not satisfied with the development.  The bank has not made a provision to Oktogonen in Q2. When we look at the bank's overall development, our assessment is that the prerequisites for provisions are still not there. Credit losses amounted to 7 basis points compared to 5 in Q1. Adjusted for Oktogonen, currency effects and dividends from VISA Sweden, which are of one-off nature, the operating profit decreased by 1%.  Please go to Slide 6. This picture shows our operations in the U.K. over the past 10 years. As all of you know, a lot of things have happened during this period: the financial crisis, the euro crisis, Brexit, significant tightening of regulations, et cetera. We know that if you want to build a stable, sound and profitable operation in our industry, it is required that you every day strive at finding the best customers and develop long-term relationships. And when we look at our U.K. business development, it is strong, at least given the uncertainty currently in the U.K. economy but also given all the hard work our colleagues in U.K. do and have done with the creation of the subsidiary. This has meant that we have front-loaded investments that will benefit our daily operations at an earlier stage than otherwise would have been the case.  In addition to this, significantly more resources are today spent on financial crime prevention. All in all, this has been demanding but it has also provided us with a strong platform for future growth. Having said this, the underlying business trend is very solid and we remain very optimistic about our operation in the U.K. With a great reputation and very satisfied customers, we have a large potential to continue to grow for a long time.  On to Slide 7. Here you can see that our capital situation is good with our CET1 ratio of 17.1% being in the middle of the target range. That is 2 percentage points above the SREP requirements. As you might recall, we had a sharp pickup in risk exposure amount in Q1. This was reversed in Q2 since there were some temporary increases in the last quarter.  And we know that the capital requirements are on an increasing path. First, the countercyclical requirements will increase in the second half of this year. And then secondly, the regulators in both Sweden and Norway have flagged for higher capital requirements on commercial property lending. It is still too early to have a view on the effects from these, but of course, it feels good that we are where we are ahead of these forthcoming increased requirements.  Please go to Slide 8 where we look at costs excluding Oktogonen and the development of the underlying costs. Here we look closer at the cost development in the first half of the year. The underlying cost growth in the bank was 6%, a level with which we are not satisfied. We have increased the pace and front-loaded some actions in the area of financial crime prevention. The AML area accounts for almost half of the cost increase. A significant part of the increase is attributable to U.K. Then we have an increase in other costs. I'll get back to that. IT development costs declined marginally, but we still assess these to increase somewhat for the full year compared to 2018. The previous guidance of SEK2.1 billion to SEK2.2 billion remains.  To conclude, we have now started a journey to establish another type of cost development in the bank. To the previously communicated actions, we have now added a more distinct focus on our core business and also structural changes. It will take some time to completely change the cost trend but we now see that costs should increase at a lower pace than in 2018.  On to Slide 9, please. The cost growth in Q2 showed a similar pattern as for the first half year. The increase in other costs includes the SEK30 million reserved for the closure of our operations in the Baltics. And that said, we have increased the costs related to financial crime prevention.  Please go to Slide 19. When looking at Q2 and the first half of the year, we see a business development with several strong components. At the same time, the bank has a higher growth rate in costs than income. This, we are committed to change.  We have therefore initiated an extensive review with 3 different aspects. The first one is about our offering and resources spent to support that. Going forward, we will opt out or transform services with low profitability and that do not contribute to our core business. So far, we have decided ceasing our offer in export finance. The management of trade finance on the various home markets will also be moved to Sweden.  Secondly, we have initiated a review of our European presence outside our home markets. So far, we have decided to terminate our operations in the Baltics and in Poland. Earlier this year, we also closed our operations in Jakarta and Sydney. All these actions in different geographies saved money, reduced complexity, reduced the need for future investments and reduced the efforts needed to adapt to new regulations. A part of these saved resources can instead be allocated to other areas, which leads me to the third point, which is to focus development and resources to our core areas, to develop our digital customer relationships and offering.  Please go to Slide 10. This picture shows how our spending on IT development is allocated. It is great to see the shift in the mix of the past quarters. We are now investing a significantly larger share on business developmental while, at the same time, the share of mandatory regulatory compliance development has declined. This is, of course, also something that means that we got a greater degree of flexibility in deciding the level of total development investments we should have, and it becomes easier for us to fund income development with a level of these investments when a lower share is due to regulatory compliance.  Please go to Slide 13. A very important market and product for the bank is, of course, mortgages in Sweden. It is the market where the competition always is very strong but one can probably say that it has become even stronger lately.  We are the second biggest player with a market share of just above 22%. Lately, we have not kept that market share in terms of net lending. We are, of course, not happy with that, and therefore, it was joyful to see that we, in May, was the biggest bank in terms of net lending.  At the same time, our margin in this business continued to be stable also in Q2. Naturally, mortgages is one of the highly prioritized areas, and you can be assured that we will work hard to become even more relevant, competitive and efficient in this field going forward. We will not only defend but also strive to further strengthen our position in this very important market.  Please go to Slide 14 and some more detailed comments on the net interest income development in the quarter. NII increased by SEK130 million or 2%. Like we have seen consistently for a long time, volume growth was a key driver, adding SEK117 million to NII. One additional day in the quarter and positive FX effects contributed with SEK101 million.  Then some comments on the net effect from margins and funding costs, which in total shaved off SEK40 million in the quarter. First, in Sweden, the effect was positive by SEK24 million, which was a result of a reversal of the mismatch effect in Q1 due to the Riksbank hike in Sweden, which we spoke about last quarter. Outside Sweden, however, the effect was minus SEK76 million.  Apart from general margin pressure on the private side in most markets, main reason for this decline comes from the mismatch effect in Norway following the rate hike by the central bank in March. This is because a number of weeks' notice period before customer rates can be raised. That means that our funding costs increased earlier than the customer rates did. Normally, this negative effect would be reversed in the following quarter but since the Norwegian central bank once again raised rates towards the end of the quarter, a new mismatch effect is likely to offset the reversal impacts on NII in Q3. Going into Q4, the reversal effect on the NII should materialize, all else equal.  In terms of the effects in the liquidity portfolio, this should be seen in the light of a usually similar offsetting effect on the liquidity portfolio in the NFT. Over time, the net impact from the liquidity portfolio on NII and NFT has been minor.  Moving on to fee and commissions on Slide 15. As mentioned earlier, we saw an all-time high in Q2, and the development is especially positive in the savings business as you can see. The fact is that it is especially the savings business that has been driving the fee and commissions, and in Q2, the income generation was back at a high level following the negative mix effect we saw in Q1. Strong net inflows and strong equity markets, of course, helped significantly in Q2.  Please go to Slide 17. The strong inflow into our Swedish mutual funds continue. In the first half of 2019, our market share of net inflows was 21%. While we have consistently been at this level, above 20% in the past decade, our market share on the total volume of mutual fund savings in Sweden is still only some 11%. So it goes without saying that this is an area where we see very good potential for continued growth. Also, outside Sweden, our savings business continues to perform well with net inflows almost SEK7 billion in the 12 months.  Please go to Slide 18. An area within the savings business where we see strong growth potential is occupational pensions in Sweden. Today, occupational pensions for us means money managed in our mutual funds. Our market share is today 7% while in mutual funds, we take around 20% of net inflows, assets and so on. Assets under management increased 17% during the first half of 2019 in our life company, and the paid in occupational pension premiums increased by 14%. Seen over the past 4 years, the average growth has been 20%. Occupational pension in its current form is an area that fits well with our business model.  Regarding the corporate customers, often SMEs, our close relations are central, and today, we have both tools that are easy to use and good solutions at hand, both in the Internet bank and in the corporate app. For the private customers, it is also today much easier to get good overview and good pension advice, either locally, remote or digitally on the web or in the app.  So back to Slide 2 and to conclude. In the quarter as well as for the first half year, the bank delivered all-time high net interest income and fee and commissions. Business volumes and the savings operations were again the key drivers for the positive development. Loan losses increased somewhat but remain at a low level of 6 basis points, and we assess the underlying credit quality in the bank to remain stable. The capital position of the bank is strong with the CET1 ratio of 17.1% being in the middle of our target range.  In terms of cost development, however, we are not satisfied. During Q2, a comprehensive review was initiated to further address this, and a number of actions have already been taken. At the same time, additional resources have been channeled towards the creation of entirely digital customer relationships, from the identification of potential new customers to fully developed business relationships.  Thanks for listening. And with that, I open up for questions.
Operator: [Operator Instructions]. We go to the line of Matti Ahokas at Danske Bank.
Matti Ahokas: Matti Ahokas here from Danske Bank. A question on the strategic review. Firstly, if you could elaborate a bit on the decision to stop the export finance business and the trade finance move. Were these businesses that were kind of so clearly unprofitable that you decided to already, at this time, terminate those? And how big businesses are these actually?  And the second question is also kind of on the same theme. If we look at the kind of -- the CEO, Carina Åkerström, mentioned today earlier that you're looking into the areas of low profitability and low potential. If you look at the ROEs of the different home markets, they're actually pretty similar at the moment. So which are the kind of areas which you consider low profitability and low potential?
Rolf Marquardt: Matti, thank you. So question #1 regarding export finance and trade finance. So regarding export finance, no, that is not a very big operation for us. And it has -- we have seen over the years that it hasn't really fit into our offering and we do not stand out competitive-wise. So that's why we have decided to take a step back. And secondly, when it comes to trade finance, yes, we are active in that area, but we have decided now to concentrate that -- the execution and the management of that business in the European context to be handled in Sweden. So that's the way to streamline and improve the efficiency in that process.  We are not talking about major cost impact from that but it is 2 examples of changes we are making and more should be expected to come. You should keep in mind that we have just started to do this. And I -- and just to reflect slightly more broadly. I mean, a year ago, we declared the 2 strategic initiatives to increase business development and also to increase operating efficiency, and that is up and running and running according to plan. But now we add to that initiatives and the review that aims at also making some more structural changes. So more should be expected to come. But that is also -- that is the light in which you should also see the changes we are making in the European context, outside our home markets.  And then when it comes to low-profitability units or business areas, that review has started. We will look at everything in the bank to find ways to -- first of all, to improve efficiency and reduce costs, of course, we are not satisfied with the cost development; but also to define areas where we will take a step back or close things. So everything will be object of that kind of review. Now we have decided to firstly focus on the presence we have in Europe outside our home markets, but, of course, we also look at our home markets and try to find out how we can improve efficiency and reduce costs in those as well. But at the moment, we are focusing primarily on the countries outside the home markets when it comes to making decisions about where we should have a presence or not.
Matti Ahokas: And when should -- could we expect some further news on the further actions that you're going to take?
Rolf Marquardt: That will feed gradually. So we'll come back as soon as we have news to tell, so -- but we'll come back already in Q3 to talk about where we are. But we don't make any focus now about exactly when we are going to talk about what we will do. That is something you have to wait for until Q3 and going forward. Now we have made the decision to close the operations in the Baltic countries and Poland and also a few representative offices in Sydney and Jakarta.
Operator: We are now over to the line of Geoff Dawes at Societe Generale.
Geoff Dawes: It's Geoff Dawes from SocGen here. Just a couple of questions. Got a bit of a follow-up actually on what we've just had in terms of the restructuring opportunities. Just in terms of materiality -- you've given us something on timing, but in terms of materiality, is this kind of 3/4 of what you're expecting to announce to the market? Is it 25%? Can you give us an idea of how much is left to come and how much you've already disclosed today?  And second of all, in terms of the definition of your home markets, could there be any change around that? So any of the current home markets could be, I guess, considered to be outside of the home markets, could be moved into kind of separate categorization? Those will be the two questions.
Rolf Marquardt: Geoff, thank you. So about the materiality, the countries where we now cease to run operations, those are -- in terms of cost numbers are really not big, but it does contribute to complexity. And I think when you think about this -- and we will do more and review that and then come back when we have decided exactly what to do. So that, you have to wait until next quarter and -- to get the answer to. But what I think is also important to underscore is that there is a cost level now for these countries, but it also means -- adds complexity for the bank in total. So -- and we have been forced over the years to continuously adapt to several different regulations, which has been very costly. Every single country, every single kind of counterparty, every single product does add complexity to -- and workload in many parts of the bank, and that is something we now want to address and go through. So in the long run, this has cost impact, which is important to us, and now we focus on doing something about that.  And then regarding the definition of our home markets, no, we have not changed that. We will certainly review and try to find ways to improve operating efficiency in each one of those countries, and that's really important, of course. But we haven't changed the definition of that, and we have no plans at this point to do that.
Geoff Dawes: So there's no question of you effectively exiting one of the current home markets. They are set in stone.
Rolf Marquardt: We haven't made any -- that is not on the table, and we have not made any decisions in that direction. But having said that, of course, we are not satisfied with the cost development that we see generally, and home markets also outside Sweden do contribute to that cost development. And that is something we are going to do something about.
Operator: We are now over to the line of Sofie Peterzens at JPMorgan.
Sofie Peterzens: Here is Sofie from JPMorgan. So I wanted to ask about the Swedish mortgage market. You've mentioned that you kind of are not really that happy with your funded market shares, and you expected to take more market share going forward hopefully. But how will this be done? Will it be by levering your margins or just having, I don't know, more active dialogues with the clients? Or how do you plan to actually gain more funded market share of the mortgage market? And how do you see margins developing?  And then my second question would be on the Baltic business. You have now closed that, but do you really think that the Baltics are that complex? And what was the rationale for really closing the Baltic operations? And then my last question would be on the core equity Tier 1. If your core equity Tier 1, hypothetically speaking, would go above the 18.1% minimum, how should we view that? What -- would you increase the payout or would you consider buybacks? Or how should we think about that?
Rolf Marquardt: Sofie, thank you. So regarding the Swedish mortgage market, yes, we have the ambition to not only keep our market share and the inflow that we have seen lately of new lending but to improve that position. And what we do in order to achieve that is, of course, through the branch network and to become even more active using all the tools we have, which is, of course, the branch network but also digital tools we have and so on. And we -- so we have the capability, and it is an important market for us.  When it comes to what that could mean to margin development, we have seen, of course, intense competition and maybe increased competition over the last -- during the last years. And of course, you can't exclude that we have margin pressure in this market going forward, and that potentially could impact us to a certain degree. But when -- so far when you look at the margin development we have, it has been stable for us in total.  And then I know that the communication between different banks has differed a bit in this area, but it depends, to a certain degree, to how you cut the cake. So -- and what we mean by stable margins is that then we take into account both the margin we have against our customers and also the increased funding costs. So the total impact has been stable or even actually slightly positive during the quarter, but I would say stable.  And then when it comes to the closing of the Baltic countries and why that was done, well, we have been struggling with the performance in those markets. We have had and do have a very limited operation there. We do service home market customers and their operations in the Baltic countries. And I think this is an interesting example of what happens to a bank if you don't have sort of a big operation with them, a big source of income these days because even though we have a very small operation, we have been forced to -- of course, to adapt to increasing regulatory requirements regarding financial requirement AML. So even though we only have a small number of customers, we have to upgrade the systems. We have to GDPR-adapt that business as well. We have to adapt it to PSD2. And each one of those exercises is something that adds both costs locally and complexity to the group as a whole. And that is exactly the reason why it's important for us to review this and why it makes sense not only regarding the costs that we do have locally, but it has a greater impact to the bank. And that's why we see opportunities to reduce costs in the total for bank -- for the bank when we go through this.  And then finally, the question about the CET1 ratio and what potentially would happen if we pass the 18.1 level. And that is something I don't want to speculate or give any guidance. We -- as long as we are within our target range and we find ourselves in the middle of that range at the moment, we do not communicate. We come back and communicate about the plans when we reach that point, and then we do it based it on the circumstances.
Sofie Peterzens: Okay. Just a quick follow-up. On the Baltics, you mentioned that you had been struggling with the performance. What kind of ROEs were you painting in the Baltics?
Rolf Marquardt: Negative ones. 
Rolf Marquardt: So Jacob?
Jacob Kruse: Am I next in line?
Rolf Marquardt: I think so because it seems like somebody dropped off.
Jacob Kruse: Oh, okay. So I just wanted to firstly follow up on the last question. It comes to the scaling back of the operations you're doing now. Would you be able to say anything about the sort of magnitude of revenues and the cost that those operations accounted for? Not in any precise numbers, but are we talking hundreds of millions of SEKor tens of millions of SEK? Just to give us an idea of what we are looking at here.  And then secondly, just on the cost development in this quarter and looking at your full year cost, so you were doing SEK10.7 billion of cost ex Oktogonen for the first 6 months. Should we expect to see further growth from that in the second half? Or do you think the initiatives you're taking now this quarter and what you're planning for the next 6 months means that you should realistically be able to run this at a lower level of underlying cost for the second half?  And then just a quick one on the capital. I think part of the increase to your CET1 ratio was some temporary RWAs falling off from Q1. Just in terms of that fluctuation, are we at a normal level now? Or should we expect a similar kind of upwards or downwards move for Q3?
Rolf Marquardt: Thank you. So regarding the magnitude of the cost base of the different markets we -- where we take a step back and close the business, I would say the cost base in those countries is in the range of SEK100 million approximately. So they are not hugely big, but they do impact other parts of the bank. So that's part of it. Then we continue with a review of our presence in the other European countries outside of the home markets, and then we'll come back when -- once we have finalized that review and look at the impact of that part. So we have started. We have just started, and we will continue.  And then when it comes to the cost development for the next -- the second half of the year, so I think the best way to understand that -- and I will give -- without giving precise guidance, I think it's a good point to go back to Slide #8 in the pack. And when you look at that, you can see that -- so first of all, we have a cost increase for the first half of the year of SEK252 million related to financial crime prevention. And that is something -- that is a number that is higher than we expected half a year ago and a year ago. Last year, we had cost increases for the full year of 2018 of SEK347 million, and now we already have an increase of SEK252 million. We assessed at that time by the end of 2018 that we should not have increases exceeding the SEK347 million, but now we do expect that to exceed. So we spend more on financial crime, and I think that is the biggest -- that is the difference compared to the expectations we had before. And I think it's also fair to assume and expect that the cost increase should stay at that level approximately for the rest of this year. So it is not an exact forecast, but it gives you sort of a range or a flavor where we are heading.  Then when it comes to the buildup of U.K. operations and the Netherlands, you can see that we have an increase this -- in the first 2 quarters compared to the first 2 ones last year. And we actually -- late '18, that buildup was -- actually took place to a large extent. When you now look at the numbers for the second quarter, you can see that the buildup is not happening as fast as it did and we are reaching the level we should be at quite soon.  Then when it comes to cost development related to development, you can see that we were slightly down. We have assessed the cost level for that to be an expectation for 2019 to be SEK2.1 billion to SEK2.2 billion. And that, we still assess, will happen. So that remains, and that -- so that is a quite stable cost line these days.  And then we have other costs. And there are a few items in that, that I'd like to comment about. So first of all, we have increased pension costs of SEK198 million, and those costs are normally very stable during the year. And then we have also made a provision for the -- regarding the Baltic, took -- we took a reserve for the Baltic countries of SEK30 million. So -- and that is of temporary nature, so that will not come back. And we have some other temporary parts of that bar as well. And I think that gives you sort of a foundation to manage your expectations going forward.
Rolf Marquardt: Sorry, I had another question also, too, and that was regarding the capital requirements and the development since Q1. Yes, I think as you stated in your question, we are now more back to where we normally find ourselves. If you look at the risk exposure amount, that decreased by SEK14 billion this quarter. And behind that, we have reduced banking exposures to a level where we normally are. We have reduced market risk exposure amount at a level where we normally find ourselves. And then we also had a pickup in Q1 related to a number of larger transactions that happened close to and over quarter end. So that is -- so I think we are more on a -- in a more normal situation regarding that now.
Operator: Okay. We now go to the line of Christoffer Adams at Kepler Cheuvreux.
Christoffer Adams: I'm sure you saw SEB saying that they will launch an account aggregation service this fall. How do you expect that to impact the competitive environment? And do you have plans to launch a similar service?
Rolf Marquardt: I can't really tell. Do you know, Peter? I can't answer that question. I don't have the information right now, sorry. Sorry, I'm sorry. I have to come back on that.
Operator: We now go to the line of Andreas Hakansson at Danske Bank.
Andreas Hakansson: Just a follow-up from the meeting before. You said that most of the AML spending is going into the U.K. Could you tell us, when you're going through that work, have you seen any signs that there's been money transfer from the Baltic discussions that we see in other banks over to you in the U.K.?
Rolf Marquardt: Thank you, Andreas. We have gone through the transactions that we -- where we have been by our customers in the Baltic countries and everything that is related to the Eastern countries. And we have gone back for many years to see what -- or review all the transactions our customers have made, and we have found nothing. And that also includes customers that we have in the U.K., in the Baltic countries but also in the U.K. And we haven't found any suspicious activities that are of any worrying character. And we have also reviewed transactions that our customer receives from other banks, and we haven't found anything that is systematic or suspicious. And so we have no reasons to worry. But you can never exclude that you find something one day. This is a very tricky area, and we are really humble about what we are facing. So no worrying signs.
Operator: Okay. We are now over to the line of Adrian Cighi at RBC.
Adrian Cighi: This is Adrian Cighi from RBC. Two follow-up questions for me on the strategic review, please. How do you think, through the upfront or the potential upfront P&L and capital impact of these exits, could we expect some of these exits to result in upfront restructuring costs? You mentioned earlier the SEK30 million provision you took in the Baltics. Is this something that's related to upfront costs? And would you expect some capital relief from such exits? Would you aim for a capital nature of developments?  And then also in terms of restructuring, we talked mainly in terms of leaving the marginal geographies you're present in. But could we expect maybe more restructuring, more ambitious restructuring not by leaving one of your home markets but by leaving some of the customer groups you're currently serving, say, large corporates in Sweden? Or do you see yourself as an ambition to remain more or less a universal bank in Sweden?
Rolf Marquardt: Thank you. So regarding restructuring cost, when we go forward and make decisions about additional actions, that is something we have to come back to when we are at that point. So we'll come back on that. And then regarding the potential capital impact, I would -- it depends on what we do. So it's -- and I can't give you any forecast about that. But so far, the capital impact has been -- from the actions we have taken has been quite limited and will be quite limited.  Then regarding potential areas we could potentially leave, what will happen is that we will cease to offer some products in some areas. We are just in the process of looking deeper into that. So we -- and it could potentially mean or will potentially mean that some customer groups, we will not serve to the same extent as we have done or completely stop serving. And that is -- I'd like to start it in the other end. We want to focus on our core areas, which we have been communicating about, and that's the focus. And then we stop serving others. And that could potentially mean that we take a step back when it comes to more complicated, really multinational companies, for instance, if we reduce some of the services we have in those areas. But the way it works in Handelsbanken is that we deal with the supporting tools and the services we offer. Then it's up to the branch officers to find out what business they can do and cannot do. But it -- we are clearly moving in a more focused direction. But the more details about that is something you have to wait for because we'll come back on that.
Operator: We are now over to the line of Riccardo Rovere at Mediobanca.
Riccardo Rovere: Sorry, I had to connect with some delay. So I apologize if some of these questions have already been answered. Three questions if I may. One is from your statement on Oktogonen, should we now consider that in -- at least in 2019, the provision for Oktogonen is certainly out of discussion.  The second thing is not that clear to me is the reason of the volatility in credit risk, risk-weighted assets because they went up quite significantly in Q1. Now they're down. What is the -- what's going on? And what is -- what would you think is the right level here that we should look at? Is it kind of average of the last past quarters?  And the very final question I had is on risk provisions and asset quality. You stated asset quality looks fairly stable, but an example, if I look at Sweden, the amount of credit impairments that you've charged in the semester is almost 5x larger than the one of last year, which were maybe overly low. But I don't really square how credit loss has been almost 5x larger in absolute terms versus last year. I don't really see that to be stable. So if you can comment anything on that.
Rolf Marquardt: Thank you, Riccardo. Yes, I will. Well, so certainly, Oktogonen in 2019, we have decided not to make a provision for Oktogonen during Q2 and we did not during Q1. That is based on the performance of the bank that we have seen so far this year. And the way we think about this is that it is about creating value in a sustainable way over time. And when you have a situation where the costs do increase faster than income, we do not do that. And so we want to have a sustainable value creation in a way. And that is about cost efficiency. And when we have been looking at the first and the second quarter, although the trend has been slightly improved and not as much as we'd like to see, we haven't found the prerequisites for making that allocation. And then -- and that's where we are. So that's the basis, and that will come back for the full year. But that's the assessment we make at this point. Sorry. And then to the second question regarding the RWA volatility. And so the reason behind that is that we had quite unusual high exposures in a few areas during Q1. And that was banking exposures were larger than normal, we had higher levels of market risk when it comes to the way you calculate that in capital adequacy terms, and then finally, we also had unusually many exposures, bridge financing deals and so on over the quarter end related to large corporate customers. So I think we are now back to a level where we normally find ourselves, where we grow steadily in tandem with the sort of the underlying core business.  And then the third question, and that is about asset quality and the credit loss we have made in Sweden this quarter. That is -- and we also had recorded a credit loss in Q1. That's related to one exposure in Sweden. So besides that, the credit quality in the portfolio is stable and very good. And that's something you can see from the numbers. So that is related to one single exposure. And that is, of course, very unfortunate, but that's where we are. Okay?
Operator: Okay. We now go to the line of Jacob Kruse at Autonomous.
Jacob Kruse: Just to follow up again on the review of your business units, would you be able to give us any kind of guidance on the metrics or cutoff points you look at when it comes to either how much revenues you're willing to forgo here or the level of ROEs where you would say that below, I don't know, 5% or 3%, this needs to have an extraordinary reason to continue to exist or any other sort of metrics that you're considering here?
Rolf Marquardt: Well, so first of all -- and I think that's important. So first of all, we look at our whole bank. So we've tried to reduce costs everywhere. That's one part of the exercise. Secondly, we look at business units and geographies where we have low profitability. We do not have a specific cutoff level. And one reason why we don't have that is because there is a relation between the different units. So if we have customers in one country, many of those could also potentially do business in other countries and so on. So there are ties between the different countries which you have to take into account when you go about this. But of course, we will review and especially look at units that have a low profitability and where we assess the possibilities to change that to be weak. So that will be in focus. And that goes for all those areas, and that goes for some of the geographies but also some product lines we have. But no sort of fixed cutoff level.  But a good way to do this, of course, is to ask yourself as a business unit if you contribute to the return on equity of the bank as a whole, of course. And if you don't, then you have a problem to deal with. So we will definitely look at all units and especially those that do have a poor performance in terms of both cost development, the cost-to-income ratio but also return on equity. And then the actions we take will depend on which unit and what kind of business we are talking about.
Operator: Before we go to the next line, which is Richard Smith at KBW. [Operator Instructions]. And Richard, over to you.
Richard Smith: Yes. Just two questions for me, please. And thanks for the very clear comments in terms of costs, the breakdown particularly on the development and the AML costs. But I was just wondering if you could help us think a little bit about maybe how that looks going out into next year and whether there are any particular programs -- I'm thinking more sort of the AML side now, which maybe are coming to an end, and therefore, you would get a bit of a benefit from those dropping away.  And then the second question was just on intangible assets. And I noticed that they are about SEK500 million in the half and against kind of SEK600 million increase last year. And I wondered how we should be thinking about that progressing over the remainder of the year, please.
Rolf Marquardt: So regarding next year, we -- of course, you know that we don't give -- make any forecast. But I think when it comes to the development of the AML cost, I think it is fair to assume that we need to continue to spend on AML and financial crime-related issues. Some of the cost increases you have seen this first half year, the SEK252 million, are of temporary nature and especially those in the U.K. We use a lot of consultants to do things now, and we have increased the pace and front-loaded some of that work, and it comes with a cost. Some of that will go away, and that will start to happen next year. Having said that, I think that you should expect that we need to continue to have costs in this area and continue to improve in this area and spend. So I think that's the expectation you should have, and that is as far as I'd like to go regarding that way of reasoning.  And then when it comes to intangible assets, the reason why they have been increasing lately is because of the nature of some of the changes we are making. So we have two projects that are more of structural character. So we are changing our systems in Finland, and that is a long-term investment. And we are also working on our central solutions to handle large amounts of data and so on. And that's also very much an infrastructural development that is going on. So -- and the level of intangible assets under development of those is related to the kind of projects we are running. But I don't want to give any precise forecasts going forward how that is going to develop.
Operator: Okay. It looks like we've got the final question from the line of Johan Ekblom at UBS.
Johan Ekblom: Just looking at the geographical information in your annual report, if we take the geographies outside of your home market and execute the ones that you're already exiting, they account for 20% of your assets and 0.7% of your operating profit. Are we missing anything if we say all of these are likely to be shut or at least dramatically scaled down? Or is the accounting essentially underreporting the earnings? And I guess the one that stands out would be the U.S., which is about 15% of your group assets and made 60 million last year.
Rolf Marquardt: I don't want to sort of go ahead of the decided actions, but of course, we look at our different geographies. The way they contribute to the group also differ in different countries both in terms of performance but also in terms of contribution in other ways. So for instance, in the -- our U.S. operation is an operation where we do -- which is important both for many of the customer relationships we have both with home market customers and U.S. customers doing business in our home markets and is also an important operation when it comes to funding activities. And that is also the reason for the performance. And we also have and feel that we need to have a footprint in Asia and so on.  But everything will be reviewed, and then we'll come back with the impact from that. So we'll come back when we have decided what to do. That answered all your questions, right?
Johan Ekblom: Yes. No, that's all good.
Rolf Marquardt: Good. Thank you.
Operator: Okay. As that was the final question in today's call, can I please pass it back to you for any closing comments at this stage?
Rolf Marquardt: I think I have covered it already. So many thanks for attending the conference call. Bye, bye.